Operator: Good day everyone and welcome to this Dollar Tree Stores Incorporated fourth quarter 2007 earnings release conference call. As a reminder, today’s call is being recorded. At this time, for opening remarks and introductions I’d like to turn it over to your host, Mr. Tim Reid, Vice President of Investor Relations, please go ahead sir.
Tim Reid: Daryl thank you very much and thank you all for being here on the call this morning. Welcome to the Dollar Tree conference call for the fourth quarter of fiscal 2007. My name is Tim Reid and I am the Vice President of Investor Relations for Dollar Tree. Our call today will be led by Bob Sasser, our President and Chief Executive Officer who will provide insights on our performance in the quarter and recent developments in our business. Katy Mallas who is our Vice President Controller will provide a more detailed review of our fourth quarter financial performance and also provide our guidance for the first quarter and for the full fiscal year 2008. Before we begin I would like to remind everyone that various remarks we will make today about future expectations, plans and prospects for the company constitute forward looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward looking statements as a result of various important factors included in our most recent press release, our most current report on form 8K, our quarterly report on form 10Q and the annual report on form 10K, all of which are of course on file with the SEC. We have no obligation to update our forward looking statements and you should not expect us to do so. At the end of our planned remarks we will open the call to your questions which we ask that you limit to one question and one follow up question if necessary. Now I’d like to turn the call over to Bob Sasser. Bob.
Bob Sasser: Thanks Tim and good morning to everyone. I hope you’ve had a chance to see our press release. This morning we announced earnings for the fourth quarter of $1.04 per diluted share. This is an increase of 8% over last year’s reported $0.96 per diluted share and as a reminder, fourth quarter of last year had 14 weeks reflecting the 53 week retail calendar. On a comparable 13 weeks basis, this year’s results represent a 17% increase over estimated earnings of $0.89 in the comparable 13 weeks in the fourth quarter last year. This was achieved on total sales for the quarter of $1.3 billion which is an increase of 5% over the comparable 13 weeks of the fourth quarter fiscal 2006 and as previously reported compo store sales declined 0.8% in the quarter compared with a 5.5% increase in comp store sales in the fourth quarter of fiscal 2006. For the full year and fiscal 2007, we achieved earnings per diluted share of $2.09, a 13% increase from the previous year and sales totaled $4.24 billion, an increase of 7% from fiscal 2006 which had the benefit of the extra week. On an equal 52 week basis, our earnings per share increased 17% in 2007 and sales were up 9% including a comp store sales increase of 2.7% for the year. To highlight a few of the operating metrics, I will point first of all to our gross margin which improved 10 basis points in the fourth quarter of this year over the reported 14 week quarter last year. That extra week contributed nearly 40 basis points to last year’s fourth quarter margin. This is the third straight quarter of gross margin improvement and we ended the year up 20 basis points over last year. Of special note are our high, or our delivery costs which remained essentially flat as a percentage of sales while fuel prices averaged $0.80 higher than in fourth quarter last year. Our logistics team was still able to offset these increases through improved processes and leverage of the network. Second, despite lower comp store sales, our SG&A rate in 2007 was 23.9% which is essentially unchanged from the fourth quarter in 2006. Again we continue to find ways to manage expenses in the face of potentially rising costs and we believe that we can continue to do so for the long haul. Third, I’m very pleased with the continued improvements in inventory management. At year end, with 192 more stores than last year and stocking up for an earlier Easter by the way, March 23 this year versus April 8 last year, only a month away for Easter, so with 192 more stores and stocking up for an earlier Easter, average inventory per store was flat to last year. Turns for the full year were up 25 basis points over 2006 while our in stock position on basics was better than ever and there’s still room for improvement in our turns. Overall with earnings results toward the high end of our range of guidance, we’re obviously pleased with much that we see in fourth quarter performance. We continue to have great confidence in our ability to manage our margin, to manage our expenses and to manage our inventory for continued profitability and for the long haul. But it was a challenging retail environment in fourth quarter. We saw pressure on the customer from general economic uncertainty and especially the pressure on the customer from high fuel prices and in fourth quarter that translated into reduced traffic. Overall our traffic was down 1.2% for the quarter. To give you some color on the quarter, customers started shopping late last year. The holiday season started slowly, especially November and it ended with a rush. Our stores were ready for the late Christmas rush and we had a strong sale, had strong sales of Christmas party supplies, gift bags, wrap, all the usual holiday items that we sell so much of. Our average ticket was up, but it wasn’t up enough to make up for the shortfall in traffic. Seasonal food sales were strong with good performance in items for holiday gatherings including salty snacks and beverages and candy. Overall we had an acceptable sell through of seasonal product and mark downs were within our plan. Our stores made a quick and clean transition from the Christmas holidays to Valentine’s Day which contributed to our improving sales trend after Christmas. As we move forward past Christmas 2007 and into 2008, our expanded assortment of high value basics continues to contribute to sales growth and represents an opportunity to increase traffic. As most of you know, one of our key initiatives over the past several years has been to increase the selection of consumer basics to our merchandise mix and this strategy is serving us well. We have added more of the merchandise that people need every day and that is more frequently purchased. We continue to improve our product selection and our replenishment methods and we’re providing a better in stock position on these basic items, so when the customers are out shopping, we have what they need. Because of the value we offer, we have become a destination for categories such as basic cleaning supplies, health and beauty care and paper goods. We are more relevant today than ever because we offer a lot of value on things that people need every day and for just a little bit of money, just a dollar. This is more important than ever to our customers who are under pressure from the high gas prices and the high fuel heating prices and the energy costs. As we’ve increased our offering of basic every day products, we continued our expansion of frozen and refrigerated products to more stores. During the fourth quarter for example, we added freezers and coolers to 39 Dollar Tree Stores. And for the full year we added freezers and coolers to a total of 340 stores. This is 90 stores more than our original estimate for the year. We accelerated the expansion because of the strong customer response to the product. At the end of the year we had freezers and coolers in 917 stores compared to 632 stores the same time last year. For fiscal 2008, we plan to continue our expansion of freezers and coolers to at least 150 more stores and that number could grow. Our customers are now finding the things they need every day and it’s giving them more reasons to shop Dollar Tree more frequently. In addition to these merchandise initiatives, the expansion of our payment type acceptance contributed positively to fourth quarter results. We currently accept food stamps in about 1,000 qualified stores. The penetration of debit card usage continued to grow in the fourth quarter but it is becoming less of a growth because it’s been there for about 18 months now. And we rolled Visa credit card acceptance to all of our stores nationwide on October 31, just in time for the holiday season. While this was new for the fourth quarter and we expect it to grow over time, we saw a lift from Visa credit, particularly in terms of transaction size. We expect penetration of Visa credit to continue increasing throughout 2008. We continued to aggressively open new stores. During fourth quarter this year we opened 27 new stores and we relocated and expanded another nine stores. So for the full year 2007, we opened 240 new stores, we expanded and relocated another 102 stores and we grew total square footage about 8%. Our new stores averaged just under 11,000 square feet, which is within our target size range. Similar to 2006, we opened 56% of our new stores in the first half of the year and we ended the fiscal 2007 with 3,411 stores and room to grow. We believe that we can operate 5,000-7,000 Dollar Tree stores across the country and our deals multi price point strategy has the potential of expanding that number. I have an update for you on deals. As most of you know we’re using these stores as a platform to develop an additional format lifting the restriction of the $1.00 price point to offer even more value and convenience while leveraging the strength and infrastructure of Dollar Tree. The key elements of a deal store are surprising value, convenience and a fun and friendly shopping experience. Customer acceptance of the concept has been good, we’re especially excited over the availability of new merchandise opportunities at the higher prices and the lift that it gives us in average ticket. Our average unit retail on items more than a $1.00 was $3.00, reflecting our strategy to focus on items at $5.00 and less. And the average transaction when the customer bought on an over $1.00 item was about $17.00. That’s higher than in previous quarters this year, probably due to normal seasonal factors. When compared to our Dollar Tree stores, the average transaction of about $7.70 in the fourth quarter, this lift in transaction sizes is very compelling. Our best test of the concept I’ve said before is the opening of new deal stores and new markets and in 2007 we opened 23 new deal stores, we relocated four existing deal stores and we’ve expanded the concept into new regions, including opening our first deal store in the Northeast with very good results. In the fourth quarter, the new deal stores outperformed the existing deal stores by nearly every sales metric, including average ticket, percentage of the basket containing items more than $1.00 and multi-price as a percent of total sale. This is consistent with our expectations and it’s very encouraging. Again, we’re excited about the deals concept and we recognize the growth opportunity this concept represents. We believe deals fills a unique void in the value retail segment. It offers an opportunity to serve even more customers in more markets and we’re committed to refining this concept. Now I’d like to turn the call over to Katy Mallas, Vice President and Controller who will give you more detail on the fourth quarter and provide guidance for 2008. Katy.
Katy Mallas: Thanks Bob and good morning everyone. As Bob mentioned, our earnings per share for the quarter were $1.04 which was near the upper end of the guidance and represents and 8.3% increase over last year’s $0.96 which included a $0.07 boost from the extra week. The improvement in diluted earnings per share for the quarter was driven primarily by an increase in our merchandise margin, a level SG&A expense rate and the benefit from our share repurchases. These factors more than offset any pressure on occupancy costs from the 0.8% comparable stores decrease. In the next few minutes I will talk about the components of gross margin as well as SG&A expense, balance sheet management and cash flow metrics, followed by guidance for the first quarter and fiscal year 2008. For the quarter, gross margin rate was 35.8%, a 10 basis point improvement over the 35.7% in last year’s fourth quarter. Last year, fiscal 2006, we saw a 37 basis point reduction in occupancy costs attributable to the 53rd week and the increase in comparable store sales. Several factors contributed to this performance improvement. First, we had improved merchandise margin this quarter. This was the result of the higher percentage of non margin general merchandise in our product mix and continued improvements in our sourcing. Second, our freight cost was essentially unchanged as a percent of sales despite higher fuel prices relative to last year. Diesel increased $0.80 per gallon on average versus the fourth quarter last year. This exceeded an offsetting [lease] increases through improved operating efficiency, including better trailer utilization and better routing which reduced the [stem] miles. Third, our shrink rate for the quarter was slightly less than last year. Fourth, the negative impact from the plan shift toward more consumables continues to diminish, partly due to higher margins on our consumable products. These improvements more than offset increases in occupancy costs related principally to the extra week last year and lower comp store sales. If you remember, last year we reported that the extra week contributed nearly 40 basis points to gross margin in the fourth quarter of 2006. Moving down to P&L, SG&A expenses were 23.9% of sales for the quarter, essentially unchanged from the fourth quarter last year. Reductions in incentive compensation, advertising and insurance offset increases in field payroll and increased fees for debit and credit card use from our recent rollout of Visa credit card and continued growth and penetration of debit cards in our overall sales mix. For the fourth quarter, depreciation and amortization was $41.3 million. For the year, depreciation and amortization expense was $159 million which as a rate of sales was down 20 basis points from last year. The tax rate for the quarter was 37.2% versus 36.4% for last year. The higher rate reflects a reduction in tax exempt interest income due to our share repurchases and an increase in tax reserves in accordance with FIN 48 which more than offset a slight decrease in our net state tax rate. For the full fiscal year, the tax rate was 37.1% versus 36.6% last year. Looking at the balance sheet and the statement of cash flows, during the fourth quarter 2007, we repurchased 3.4 million shares on the open market for $95 million. In addition, we paid down $85 million of long term debt. This returned our long term debt outstanding to $250 million. We recently enhanced our long term debt structure, replacing our previous $450 million revolving credit facility with a $300 million revolving credit facility and a $250 million term loan. The new structure provides greater flexibility and a more favorable LIBOR spread than our previous structure. Cash and investments reflect share repurchase activity of $473 million and approximated $81 million at the end of 2007, versus the $307 million at the end of last year. In early October, the Board of Directors authorized the repurchase of an additional $500 million of the company’s stock. We now have approximately $454 million of remaining authorization. Our share repurchase program reflects our commitment to building value for our long term shareholders and our confidence in the company’s ability to continue to generate significant cash flow. Moving down to inventory, we continue to focus on lowering our per store inventory investment and increasing turns. Our inventory turns increased about 25 basis points in 2007. Inventory per store finished the year essentially unchanged from last year despite slightly lower than expected fourth quarter sales and the increased merchandise flow for an earlier Easter season. Capital expenditures were $32 million in the fourth quarter versus $35 million in the fourth quarter last year. For the full year 2007, capital expenditures were $185 million which is about $10 million more than last year. The majority of capital expenditures this year were for new stores, remodeled and relocated stores, the addition of frozen and refrigerated product to approximately $340 stores and the expansions of our Briar Creek distribution center and our home office and data center in Chesapeake Virginia. The Briar Creek expansion was completed on schedule in October. Now for forward guidance, as we look to 2008, we must be mindful of a couple of issues. First, we still face an uncertain economy with many pressures on the consumer. Second, the retail calendar is unfavorable. Easter is the earliest ever and Thanksgiving is about a week later than it was last year. With these issues in mind, for the first quarter, we are forecasting sales in the range of $1.1 billion to $1.35 billion and diluted EPS in the range of $0.37 to $0.40. This implies slightly negative to slightly flat comparable store sales results, including the potential negative impact of an earlier Easter. As a reminder, this year Easter falls on March 23rd, two weeks earlier than last year, which we believe could potentially result in $25 million of lost volume when compared to the first quarter of 2007. On a sales base of about $1 billion, this translates into about 2.5% points of downward pressure on comp store sales for the quarter. For the full fiscal year 2008, we estimate sales will be in the range of $4.49 to $4.62 billion based on flat to 2% positive comparable store sales and approximately 9% square footage growth. Based on these estimates, we are forecasting diluted earnings per share in the range of $2.17 to $2.35 which includes no impact from share repurchase activity in 2008. For your information, we have currently about 90 million shares outstanding. For fiscal 2008, we are planning capital expenditures to be in the range of about $155 to $165 million. Capital expenditures will again be focused on new stores and remodels as we are planning 245 new Dollar Tree stores plus 30 new deals multi-price stores and 100 remodels and the addition of frozen and refrigerated capability to 150 stores. Depreciation and amortization is estimated to be in the range of $160-$165 million primarily reflecting the increase in our store base and the recent expansion to our Briar Creek distribution center and our corporate headquarters. We anticipate that depreciation expense as a percent of sales will continue to decline in 2008. With that I’ll turn the call back over to Bob.
Bob Sasser: Thanks Katy, before opening it up to questions to you, I want to leave you with a few summary observations. In fourth quarter, while sales grew by 5%, earnings per share increased 17% on an equivalent 13 week basis. Gross margin improved for the quarter and for the year. We held the line on expenses as SG&A was unchanged in the fourth quarter. With more stores and volume, our logistics network continues to become more efficient, offsetting increases in diesel fuel which averaged $3.35 in fourth quarter of last year versus $2.55 in the previous year’s quarter. Inventory turns have increased in each of the past ten quarters and rose by 25 basis points for the year just ended. Our new deals concept is progressing and it’s exciting. We’re opening new stores and new markets and customer acceptance is strong and the gross margin is improving and we continue to demonstrate the ability to self fund the growth of our business while generating substantial free cash and rewarding our long term shareholders by buying back more than 12.8 million shares, worth $473 million in 2007 without increasing our long term debt. We’re confident in the company’s ability to continue leveraging a significant amount of free cash flow and we remain committed to use our cash to drive shareholder return. Looking forward, our efforts in 2008 will be focused on five key priorities. First priority is growing our top line through surprising merchandise values and merchandise excitement to our customers, continuing to maximize our gross margins through increasing the mix of direct imports and reducing our shrink and maintaining tight control of our expenses. Our second priority is to optimize our real estate network, opening stores on schedule, on time, improving the site selection process, increasing new store productivity with bigger and more impactful grand openings and continuing to lower our construction costs. Our third priority is the commitment to developing our deals concept. This year we will further develop, improve and expand deals, opening 30 new deal stores, expanding the size and skill base of our deals team, developing a more compelling assortment of high value merchandise for the deals customer and refining and continued testing of the oops concept in our Dollar Tree stores. Our fourth priority is to continue the development of our people. We’re driving successful talent management throughout our organization to improve succession planning, training and development and further reduce fuel management turnover. And building on our positive culture at Dollar Tree, Dollar Tree must be an exciting and fun place to work. And finally, we’re dedicated to building value for our long term shareholders. This means running the business as effectively as possible and managing our capital in a way that enhances shareholder return. Yes, we face challenges of rising fuel prices and economic uncertainty but I believe we’re up to the challenge. We’re well positioned with bright, friendly and convenient stores, our value offering and especially our increased mix of consumer basics makes us more relevant than ever to the customer. We’re now ready for your questions, so that we can accommodate as many callers as time permits, we ask that you limit your questions to two.
Operator: Thank you. The question and answer session will be conducted electronically. If you would like to ask a question, please do so by pressing the star key followed by the digit one on your touchtone telephone. If you are using a speakerphone, please make sure your mute function is turned off to allow your signal to reach our equipment. Once again, please limit yourself to one question and one follow up. And we’ll take our first question with Dan Wewer with Raymond James, please go ahead.
Dan Wewer – Raymond James: Bob your inventory turns bottomed in 2004 and have improved for three consecutive years yet you’re indicating turns could further increase. What type of investments and replenishment or planning, inventory allocation are going to be needed going forward to continue improving your inventory productivity?
Bob Sasser: Dan, a lot of the improvements, the learning that we’re doing as we have installed our POS systems and done our SKU level inventories in our stores and put in our replenishment, our allocation systems and really updated our staff, we also learned how to use these systems better and we’re doing a better job of flowing the product and working with the buying group. So there’s still room to improve our turns through allocation of our product into the stores and we’re also still looking at the potential sale, I don’t think we’ve found the high end of some of the items, the new merchandise that we’ve added, really faster turn in merchandise. So as we learn more about that, that’s going to help us improve our turns. As far as future investments, we’ve already made recently an investment in assortment planning which you know my mantra around here has been to tie the buying to the selling and that’s the piece that we’re just putting in right now. It’s the piece that helps us build the assortment so and we’re building them by store. So that then we can tie the allocation to the plan and a store for example that sold 10,000 rolls of wrapping paper last year now will have the ability to allocate to them based on what their last year sales were specifically versus in general. So that’s going to help us increase our turns greatly. The big dollar investment in our systems are behind us though and a lot of them are fully depreciated now with the POS systems, that was fully depreciated this past year. The systems that we’re buying now, like the planning, the assortment planning system, I think all in all it was a few million dollars, $3-$4 million in that range, might be a little less but even that, a lot is behind us by now.
Dan Wewer – Raymond James: So you’re just getting a bigger payback on the investments that were already made?
Bob Sasser: We are getting a big payback on the investments, we’re seeing improvement in our ability to understand the rhythm of the flow of our product. You know there’s a learning process in this too and it’s the allocators doing the allocations based on sales and inventory but it’s also the buying group sort of tying and holding hands with the allocators to buy the right amount to bring it in at the right amount at the right time to flow the product more efficiently. For example, our inventory ended the last year flat to the year before with 192 more stores but if you looked at our store inventories it’s actually a little higher, there’s less inventory in our DCs because it’s coming in and our distribution centers are really distribution centers, not warehouses.
Dan Wewer – Raymond James: And then as a follow up question on the Visa rollout. How do you determine if that is cannibalizing your debit card business and then also is the increase in the average ticket from Visa going to be more significant in the fourth quarter than it would be in other periods during the year? Thanks.
Katy Mallas: Really we don’t see any cannibalization in debit. You know we see an increase in credit and we actually see a slight increase also in debit. Where it’s really taking from in terms of the transactions is checks and cash.
Dan Wewer – Raymond James: And so with the higher discount rate it’s still a very favorable trade off I would assume.
Bob Sasser: Absolutely, it’s worth the, you know first of all it better serves our customers and you know we were one of the last holdouts I guess, people not taking debit and then credit. So it really does, our customers really do like it and credit especially has a positive impact on the average ticket. They don’t have to have the cash in their pocket, they’re not surprised when they have to have cash, they can pull out their credit card or their debit card and pay for it. We’ll take almost any form of payment now.
Dan Wewer – Raymond James: Great, good luck.
Operator: And we’ll take our next question with Scott Mushkin with Banc of America, please go ahead.
Analyst for Scott Mushkin – Banc of America: [Bakely] I’m just filling in for Scott, congratulations on a nice quarter, just had a question on deals. You moved from I think I had 23 openings this year or about 25 or so in fiscal 07 and you moved that to 30 for 08, you know not a huge increase, what would it take for you to move that higher into the 75-100 on an annual basis range?
Bob Sasser: Well we need a little more time because we are continuing to refine the assortment and to refine the customer offering and what we stand for in the minds of the customer. So there’s still work to be done there. Assortment planning is a key initiative in the deals stores this year and going forward. So we’ve still got some improvements that we need to get done. The margin, while it has come up, the merchandise markup margin, the merchandise margin, while it has increased and improved over the past year, still anywhere from three to four points less than a Dollar Tree store so there’s still improvement that I want to get in that and then of course the third thing is just the market strategy, we’re working real hard to understand the dynamics of the deals customer versus the Dollar Tree customer and to put together these markets. So availability of real estate and the markets that we choose to compete in at this point is something that we’re trying to learn too.
Analyst for Scott Mushkin – Banc of America: Okay and I mean you have, I know it’s a small number of stores but do you see any difference in customer behavior given the stresses that you know everyone’s talking about. I mean do you see, because of the higher price point any kind of you know tell tale signs of more sensitivity, less…
Bob Sasser: It is a smaller base but I would surmise intuitively that we’re feeling the same kinds of issues in deals that we are in Dollar Tree and I think I, just from what I read it sounds like retailing in general is sort of complaining about traffic being down at Christmas.
Analyst for Scott Mushkin – Banc of America: Okay and if I could throw in one quick one, just any thoughts on input inflation, I don’t believe you touched on it in your prepared comments but both on the sourcing in Asia side and on the commodity side.
Bob Sasser: You’re talking about inflation?
Analyst for Scott Mushkin – Banc of America: You know, cost inflation.
Bob Sasser: Okay well yeah, looks it’s, you know we’ve improved our gross margin for the year, for the last three quarters and for the year our merchandise margins continue to go up and how are we able to do it? Well first of all we’ve grown, we’ve grown in size as we continue to grow in size it gives us larger buying power and I will tell you that larger buying power translates into lower costs. And I also want to tell you that margin at Dollar Tree is really all about the mix of the product and not as much driven by an individual item. And that I believe is a key differentiating factor from Dollar Tree to other retailers or many other retailers. Our model is very flexible. We’re not locked in to specific items, we don’t have to have anything. We don’t have planograms and that gives us the flexibility to move quickly from item to item. We build our assortments with really two requirements. First of all to offer the greatest value to the customer and then at a cost that delivers the desired merchandise margin. So while you hear of costs pressures and you think intuitively that it should translate into lower merchandise margins, in reality that’s not been the case, our history shows that we’re consistently able to manage through these cycles by changing the product or changing the source. We decide what to sell, we’re in control of our mix and as a result in control of our margins. And our history shows that we’ve been able to do that. Our merchandise margin again in fourth quarter was up.
Analyst for Scott Mushkin – Banc of America: Okay, thanks very much.
Operator: Once again please limit yourself to one question and one follow up, we’ll take our next question with Meredith Adler with Lehman Brothers, please go ahead.
Meredith Adler – Lehman Brothers: Hey guys, I’d like to just talk a little bit on the last question and just talk about the way you’re buying more consumable items which I assume of lot of which you buy domestically. Have you found that you’ve been able to buy that product better as you’ve gotten bigger?
Bob Sasser: Well you know Meredith, it’s some yes and some no. There are some commodity products that have risen in cost faster than we’re happy about but again we continue to fall back on our philosophy of number one offering the best value for $1.00 to the customer and then at a margin that we’re willing to, a cost that we’re willing to pay. So we’ve changed product, we will continue to change product and that has served us well for all these years. The proof is in the pudding and when you look at the fact that we do have a mix now of probably 40% consumer product in our store but our merchandise margins have continued to go up for the past three quarters. So we’re able to do it because of our strategy of not being, we don’t have to have anything, we are very deft and nimble at moving from one item to the next and we replace an item if it goes out of the realm of being profitable or a value to the customer then we replace it with something else.
Meredith Adler – Lehman Brothers: Okay then a question about fuel costs, I don’t know whether you’re doing any hedging, is that something you will be thinking about doing?
Bob Sasser: We have done no hedging, it’s something that we continue to look at but we have not done any hedging in the past. You know our fuel cost, Meredith, just to give you a little more color on that, we talked about freight cost level even with the diesel prices going up, that really three key reasons in the fourth quarter. Number one our operating efficiency, our people are getting better at cubing up trucks. They got more freight on the trucks. And improvements in routing and don’t underplay the leverage from our logistics network that continues to help us reduce [stem] mileage. We don’t have to open up a new distribution center now to serve any of our stores, so every new store that we open up now is on the route to somewhere. So it is actually leveraging that asset that we have. It reduces [stem] miles to the stores and we’re also doing more backhaul now than ever. So, getting better at what we do and improving operating efficiencies and leveraging that logistics network is serving us well.
Operator: And we’ll take our next question with Ralph Jean, Wachovia, please go ahead.
Ralph Jean – Wachovia: Great, thanks. Bob one of the things that’s been a real thorn in most retailer’s side in the past is increased shipping container rates from Asia. Some of the press recently has indicated that traffic is definitely down at some of those key ports. Just wondering when those contracts come up in May if you think you can get a favorable renewal rate there?
Bob Sasser: Well Ralph it looks like they might be a little higher than this year. We of course have to finalize, we’re, we always do this but you know we’re always planning for them to be higher and then Steve does his magic and really does a nice job of negotiating the rates in the current environment. But the pressure is up on shipping rates for next year.
Ralph Jean – Wachovia: Is that due to a supply of shipping forwarders or is it, it just seems like everyone is planning for inventory to be down and therefore the traffic should be down.
Bob Sasser: Well and I think, the supply and demand will always work out in the end. Right now there’s a lot of negotiation going on and a lot of it always starts out, oh the rates are going to be higher next year and then when it comes right down to it, if there’s capacity then the rates don’t go up. If there’s less capacity then the rates do go up. And we’ve over the years been able to manage it within a pretty tight range and I think we’ll be able to do so this coming year. But it is, the pressure is upward on shipping rates, it’s something we’re dealing with.
Ralph Jean – Wachovia: Any update on the CFO search?
Bob Sasser: Still looking, we’ve got a lot of great candidates that we’re talking to out there, in the meantime I feel very confident in the current staff in the finance department and they’re doing a terrific job and I’m just, let’s save the salary right now [laughter]. But we are in no rush, we’re really looking for the best fit for our company and something that can help us provide great leadership going forward.
Ralph Jean – Wachovia: Great, thanks Bob.
Operator: And we’ll take our next question with Karen Short with FBR, please go ahead.
Karen Short – FBR: Hey everyone, thanks for taking my call. A couple questions just on geography. Were you seeing any patterns on weakness by geography and I guess if you were, did you see any patterns with the mix of basic you know consumer versus discretionary in those markets?
Bob Sasser: You know the only thing that really comes to mind and I don’t think it’s that big a thing but the west seemed to be subject to traffic woes earlier than the east and again maybe they felt the pinch out there with the fuel prices earlier than we have in the east and some of the other things. But other than that, geography, one of the things that, just to give you some color we were expecting that maybe in the southeast and Florida in particular that we would feel a pinch and frankly Florida has been a bright spot. So we haven’t felt a lot of the things in Florida that we’ve seen across the country in general. So it’s not a science yet, it’s really I think what we’re seeing out there is an overall pressure on the customer, these rapidly rising fuel prices are the things that it’s, once they stabilize, even if they’re high, it seems like that the impact is mitigated because people somehow figure out how to fit it into their budget. It’s when they’re rapidly rising that creates the most uncertainty for us anyway.
Karen Short – FBR: Okay and then just a follow up I mean I think in the past you’ve talked about maybe a 2-3% comp to leverage your overall O&A. Do you see that number maybe coming down a little bit?
Bob Sasser: I think you still got to say 2-3%, you know like 4. 4’s better than 3. So it’s gotta be in the 2-3% range so.
Karen Short – FBR: Okay, great, thanks.
Operator: We’ll take our next question with Christine Augustine with Bear Stearns, please go ahead.
Christine Augustine – Bear Stearns: Thank you. I was wondering why you thought you might have some sales loss in the first quarter because of the Easter shift because, isn’t most of what you’re selling around that holiday candy and things that people will still buy irrespective of what’s going on with the weather. So I was just kind of curious about that guidance and then my second question is what sort of benefits did you see, what magnitude I guess in the quarter from reduced compensation incentives? I think that was a program you changed a while back so if you could give an update there, thank you.
Bob Sasser: Christine, well first of all that’s a good question on the Easter because again it’s not as intuitive as it sounds but Easter is the earliest this year that it can ever be I’m told, I haven’t gone out and tested that but it’s the earliest that it can ever be, March the 23rd, that’s only a month away, so one of the things that you find is people really don’t start thinking about it yet and so all of the sudden it’s Easter and then there’s a rush. We actually are planning to sell about the same Easter product that we would sell anyway. So it’s not the decline in the direct Eastern product, the jelly beans and the Easter baskets and all that, it’s the traffic that’s associated with the Easter business that drive the sales in all the other categories and when it’s early in the year you’ve got less days of the Easter traffic, fewer days of the Eater traffic and you’re also subject to bad weather. March the 23rd is likely to have a snow storm in the northeast as February, so you are subject to the bad weather. But it’s not the direct Easter goods that you’re going to see a $25 million decrease in, it’s the traffic and the effect that that has one the customer in our stores and buying all the other things, including the early spring things and the summer product, summer toys and those kinds of things. When you have a late Easter, there’s less problem with the weather, longer selling period and people are out buying more of the summer seasonal products when the traffic is in the store, they’re buying more of everything. The second question was surrounding, incentive comp. You know we’ve changed our incentive comp this past year to align it to the goals that we had. Frankly, last year, if you look at it as a comparison, last year was higher because we had a catch up on incentive comp last year. But by comparison you’ll see a reduction as compared to last year in incentive comps and in fact we have, we’re paying out some pretty good incentive bonuses this year because we had a pretty good year. But we did change the way we incented people. We’ve aligned our buying group more to the things that they control and incented them to drive margins and they’re doing it and to drive sales and they’re doing it and we’ve aligned our stores more on the sales, comp sales but also contribution margin for their store and their scan margin is rising. So I’m feeling really good about the results that we’re seeing in our operating and our margins and the expense lines because of the changes we’ve made in incentive comp.
Christine Augustine – Bear Stearns: Thank you.
Operator: And we’ll take our next question from Adrianne Shapira with Goldman Sachs, please go ahead.
Adrianne Shapira – Goldman Sachs: Thank you, Bob I was just wondering if Bob you could talk again to that better buying, clearly very impressive margin expansion and we’re just wondering in this environment as others are clearly perhaps trying to be much more conservative of their inventory planning, perhaps manufacturers sitting on more merchandise, what opportunistic buys are you seeing out there? Is it greater than usual and are the margins on those buys even better as you highlight that better buying, seems to be filtering through the numbers, thanks.
Bob Sasser: Yes, there appears to be a lot more opportunistic buys out there right now because of the obvious reasons, there’s been some failure in retail in general and some store closings and some pullback on expansion and comes with that is cancellation of orders and that, we stand ready to help out all the vendors with merchandise excesses, we have cash to spend and we’re here to do it. So we’re seeing some great opportunities to pick up deals in the market. The margins are all over the board, I mean sometimes you look at opportunistic buying as a way to improve your margins, sometimes you look at it as a way to drive your sales and sometimes we get some things that are just such great value and we have to pay $0.80 for it, but it’s such a great value at a buck you’d never see it, so we may choose to participate in that. On the other hand, a lot of times find things that you know it’s a great value but we can buy it on the other end of the spectrum too, so it’s all a balancing act on the margins. At the end of the day, our intention is to continue to drive our improvements in merchandise margin.
Adrianne Shapira – Goldman Sachs: Great and could you give a sense in terms of categories where some of the buys are coming across the boards?
Bob Sasser: We’ve found books, we’ve found coloring books, we’ve found toys, in the beverage category there’s a lot of soft drinks that are new, non carbonated beverages out there that are introduced. And we’ll take advantage of some of the excess capacity that’s created on that and we’ve gotten some of the hottest beverage that’s out there, we’ve got it, we’re selling it at a buck and others are selling it for more than that. So it really is across a pretty broad spectrum, we find apparel items from time to time that you know especially in the cold weather months we had gloves and hats and scarves and things that you really just couldn’t expect to buy for a buck. So it really adds that extra flair I guess and that exceeding of the customer’s expectation when we can offer these things. It’s across the board, we haven’t found any flat panel TVs yet that we can sell [laughter]. There are realistic items that we’ll never be into but I’d say it’s across the board in general merchandise.
Adrianne Shapira – Goldman Sachs: Great and if we could just switch into the cost controls, obviously impressive this quarter as you just mentioned historically you needed sort of a 2-4% comp, given that we’re heading into the first quarter and you’re expecting lighter than that and you won’t be anniversarying sort of the comp opportunities that you just [lapped], can you just talk about how we should be thinking about expenses in the near term. Should we be expecting sort of continued deleverage in the first half?
Katy Mallas: In the first quarter there will be pressure, especially in G&A because of that. We’ll see a little bit of pressure as well in gross margin. We’ve got some good news going on as we’ve been discussing in the merchandising line but we’ve got pressure coming out of especially on the diesel fuel front and made a lot of improvements but it’s still going to be a challenging environment from that perspective. And as we’ve discussed with the comp, looking at what that does to our occupancy rate, the first quarter especially is going to be a challenge.
Tim Reid: And Adrianne, everything that Katy just said is implicit in the guidance that we put out, so it’s just a little background color on the numbers that we already put out for you.
Operator: And we’ll take our next question with Joe Feldman with Telsey Advisory Group, please go ahead.
Joe Feldman – Telsey Advisory Group: One or two follow ups on the deals, the 30 new stores that you’re going to open this year, are those going to be more new markets or existing markets? And also how close will they be to the Dollar Tree stores?
Bob Sasser: There will be some deals in new markets, some in existing deals markets. And as far as close to Dollar Tree is, you know we’ve got Dollar Trees in 48 states so there’s always going to be probably a Dollar Tree within you know the ten mile if not the five mile. So, we are going to be the northeast of the market that we’re moving into and some in the southeast as well as the Midwest.
Joe Feldman – Telsey Advisory Group: Got it thanks and the one little follow up I have on that then is with the deals stores that are in close proximity currently to a Dollar Tree like call it within the five mile range, have you noticed any cannibalization between those two concepts?
Bob Sasser: You know it’s something we’re still looking at. So far we haven’t seen so much of cannibalization of Dollar Tree when we open up the deals. It’s something I’m sensitive to, it’s something we’ve got to learn more about as we continue. We’ve just now again just in fourth quarter started rolling some of these deals out into new deals markets but existing Dollar Tree markets so more to come. I don’t know the answer on it, it’s something we want to manage.
Joe Feldman – Telsey Advisory Group: Great, thanks and good luck in the quarter guys.
Operator: We have time for just a couple of more questions. We’ll go next with Mr. David Mann with Johnson Rice, please go ahead.
David Mann – Johnson Rice: Thank you good morning. On the China inflation issue can you just talk a little bit more about the specific price increases you might be seeing on some product and also you talked theoretically about flexibility in terms of you know moving away from products where you have high inflation, can you just talk a little more specifically, are you having to move or change the mix to offset or get away from higher costs?
Bob Sasser: You know David we’ve always been [unintelligible] and it’s really not hypothetically, we really do that. It’s one of the things that does set us apart from other retailers, the fact that we are not just absolutely tied to having, we don’t have to have a product, we can move to the next vendor or the next product. It’s all relative to value. So we do, we move a lot, we always have moved a lot. There’s a couple of other things that you’re seeing in the merchandised margin and you know you ask about the pressure on foreign sourcing, you know we’ve moved some things from domestic to foreign over the past few years. In 2006 our foreign sourcing was in the 35-40% range and last year it was slightly above 40%. The increase was really driven by back to our systems improved inventory visibility in 2006 with the data of what we owned and what we’re selling, we focused on selling through merchandise that we already owned and that meant that in 2007 we were open to buy for more of the high margin imports and we saw some of that benefit in our merchandise margin. Going forward we expect our percentage of imports to continue to grow in 08 but still in the low 40% range. But overall it’s in the domestic product we see the opportunity, people come to us and they need a price increase and sometimes we sell well we can’t take a price increase you know. My dollar price is still my retail so we work with them many times in ways to mitigate their cost increase. Sometimes if I can take the product closer to their source, closer to their factory we’ll do that. We’ll take it in bulk put ups, less packaging if that helps them. We’ll pick it up ourself if we think we can do it more efficiently than they do, we do more backhaul than ever. So we’re really, over the past 20 year have developed a real sensitivity on how to take cost out of the product, how to work with the vendors to deliver it faster, better, cheaper. And at the same time we stand ready to move on. We don’t have to have any one product in our store. Our stores aren’t planogramed so if I’m buying from a vendor A, shampoo and the price or the value is not there anymore, I replace it quickly with a vendor B shampoo and the customers, they come in, well where’s vendor A, well we don’t have anymore but look what we got, vendor B. And that’s part of what we do, the customers, that ever changing mix, the thrill of the hunt, the expectation is that you’re going to find shampoo. You know you may be really excited if it’s a P&G item but buy it now because it won’t last long. We’ve built a business around doing that and we continue to do it. So it may not be intuitive in the face of rising costs or rising prices. By the way, your vendors are never going to say oh yeah prices are going down. So if you’re calling the vendor and asking them “are prices going up,’ “yes prices are going up.’ At Dollar Tree they’re paying more, well the proof is really in the results and frankly our strategy of not having to have anything has served us and will continue to serve us and it’s amazing when you say no, when you can say no it’s amazing how resourceful people get in finding ways to improve the value for you or reduce the price or take the cost out some way, somehow. So that’s what we do and we’ve gotten pretty darn good at it. So I would expect that going forward we’ll be able to manage out merchandise margins very well. I expect that we can continue to improve our margins as margins in 08. In the face of rising, going on a little bit here, but it’s the same idea on expenses, on items that we’re buying that we use in our business. You know we gain more visibility at what that is and as a result we know what we’re buying, we sort of pool that together and you know leverage the size of the buy. We’re putting more items out to bid. We’re using reverse auctions on expense items and it’s something that we learned is our store build out where we went to auctions, reverse auctions on fixtures, we’re using that same technology and process now on our expense items in house, things like the paper we use and the printers and the cartridges and all the things that we use. So we’re seeing some opportunities actually to drive down some cost using technology, using our buying power. And now the next big opportunity is in processes. I’m excited about process improvement as it relates to reducing our costs going forward. We are very transaction intensive at Dollar Tree, everything’s a dollar. $4.5 billion is 4.5 billion items, it’s that kind of a business. Very transaction intensive and a great opportunity to improve our processes to take costs out.
David Mann – Johnson Rice: Thanks for the detail. If I could ask one follow up on the Visa experience you had in the fourth quarter. Can you quantify what you think that meant to your comp store sales and then do you still feel like in 2008 you’ve talked about you know perhaps as much as a 2% benefit to comps from Visa, do you still think that that’s a reasonable target for 2008?
Katy Mallas: Sure on the fourth quarter, it helped the comp probably in the range of 0.5-1% is our estimate. In terms of 2008, I’m not sure that it’s as high as 2% but it’s continuing to ramp up. We know that we still have some more room and we do see the health in the transactions so we do anticipate some benefit for 2008 but I couldn’t tell you that it’ll be that big.
Tim Reid: Just to clarify David, we never said 2% in 08. People came to those conclusions based on some of the metrics that we had from past Visa but we’ll just see how it plays out, we got a lift in the fourth quarter though.
David Mann – Johnson Rice: Very good, thank you.
Operator: And we’ll take our final question with Mr. Patrick McKeever with MKM Partners, please go ahead.
Patrick McKeever – MKM Partners: Thanks good morning everyone, on diesel fuel costs Bob you said I think you said diesel was up about $0.80 on average in the fourth quarter. It’s now up about $1.00 versus last year, are you budgeting in a bigger spread in 2008 than that $0.80 in the fourth quarter?
Bob Sasser: Patrick we budgeted in the Federal government’s estimate of what the number is going to be and we did budget it up for 2008. Now you know I don’t know where it’s going to go so obviously we’re going to be subject to the market and what happens there.
Patrick McKeever – MKM Partners: Okay and on the longer term operating margin outlook, I mean your guidance I guess at the midpoint of the range anyway for EPS implies a little bit of a decline in operating margin from 2007. You said I guess you continue to need a 2-3% comp to leverage your expenses. Maybe you could give some feel for where operating margin might be on the quarterly basis I mean would you expect to be up in the second half, down in the first half, that kind of thing?
Katy Mallas: I’d say that the first half again, you know especially in the first quarter we will be seeing more pressure in the front. Overall for the year though you know there’s lot of ups and downs but within the range of guidance I would say similar in terms of oprating margin for the year.
Patrick McKeever – MKM Partners: Kind of flattish?
Katy Mallas: Kind of flattish, yes.
Patrick McKeever – MKM Partners: And I know I’m only supposed to ask two but since I’m the last caller just try and get one last one in, you mentioned in the sales release for the fourth quarter that business had picked up late in the quarter. Any comment on how things are going sales-wise in the first quarter?
Bob Sasser: You know I really can’t comment on the first quarter but going back to the fourth quarter it did pick up late. We, November started slow and then December started slow and ended with a bang and of course January was pretty good. Valentine’s Day being most of the drive in January, so we had a good Valentine’s Day.
Patrick McKeever – MKM Partners: Okay, great, thanks everyone, thanks Bob.
Tim Reid: Thank you all for participating in the call. The next conference call is scheduled for May 28th, 2008 when we will report results from the first quarter of 08. Thanks again.
Operator: Once again ladies and gentlemen this will conclude today’s conference, we thank you for your participation, you may now disconnect.